Operator: Good day, and thank you for standing by. Welcome to the Owens & Minor First Quarter 2024 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded.  
 I would now like to hand the conference over to your first speaker for today, Jackie Marcus, Investor Relations. Please go ahead. 
Jacqueline Marcus: Thank you, operator. Hello, everyone, and welcome to the Owens & Minor First Quarter 2024 Earnings Call. Our comments on the call will be focused on the financial results for the first quarter of 2024 as well as our outlook for 2024, both of which are included in today's press release. The press release along with the supplemental slides are posted on the Investor Relations section of our website.
 Please note that during this call, we will make forward-looking statements. The matters addressed in these statements are subject to risks and uncertainties, which could cause actual results to differ materially from those projected or implied here today. Please refer to our SEC filings for a full description of these risks and uncertainties, including the Risk Factors section of our annual report on Form 10-K and quarterly reports on Form 10-Q.
 In our discussion today, we will reference certain non-GAAP financial measures, and information about these measures and reconciliations to the most comparable GAAP financial measures are included in our press release. Today, I'm joined by Ed Pesicka, President and Chief Executive Officer; and Alex Bruni, Executive Vice President and Chief Financial Officer. 
 I will now turn the call over to Ed. 
Edward Pesicka: Thank you, Jackie. Good morning, everyone, and thank you for joining us on the call today. As I reflect on Q1, I am both pleased with our financial performance and encouraged by the continued progress we've made with our evolving operating model for the first 12 weeks of 2024.
 In addition, we were able to make investments related to our long-term strategic plan we introduced in December of 2023, and these investments are ahead of schedule. We are also making operational investments to bring higher levels of service to our customers and ultimately, the patients serve. Finally, in Q1, we onboarded new customers in our Medical Distribution division, navigated the seasonality of our patient direct segments and overall met our internal expectations.
 While Alex will do a deeper dive into our financial performance and expectations for the remainder of 2024, let me review a few of our financial and operational achievements from the first quarter. First, our Products & Healthcare Services segment posted a 3% year-over-year improvement in revenue with our Medical Distribution division delivering mid-single-digit growth as a result of the onboarding of new customers in addition to attractive same-store sales.
 In our Global Products division, we saw growth in our U.S. proprietary product sales, driven by improving in channel sales as a result of enhanced focus and new product launches. Overall, I'm pleased to see the flattening of the curve of our product sales with unit volumes continuing to increase as prices continue to settle back to pre-COVID levels. Our Patient Direct segment posted a 5% year-over-year improvement in revenue. 
 We anticipated the first quarter growth to be in the mid-single digits as a result of very strong growth in Q1 of 2023 along with the adjustments to sales territories as we invested in additional commercial resources consistent with our long-term strategic plan. Additionally, we were not immune from the impact of the cyber incident at Change Health in late February, which did have some marginal topline impact to our business. 
 However, we are currently working with Change to ensure we capture the associated revenue and receive full payment for all services and products rendered. And I'm also very proud of our responsiveness to this issue to mitigate the impact to our company. More importantly, I'm even more pleased with our ability to successfully limit the potential disruption of our customers' ability to receive life-saving products and supplies they need every day. 
 At Owens & Minor, we believe life takes care, and we felt it was our responsibility regardless of the obstacles to continue to process orders and make the essential deliveries as quickly and efficiently as possible to provide continuity of care when it matters most.  
 Turning back to our broader business. We entered the next phase of our operating model realignment at the beginning of the year, with an emphasis on identifying and capturing meaningful growth and profitability in our Patient Direct segment. This added focus in 2024 will enable us to make assessments and take actions related to improving our already well-run Patient Direct segment. 
 We are utilizing the operating model realignment to implement transformational opportunities to improve our business reimbursement and collection model and to gain efficiencies and grow profitability in areas such as our sleep supply customers. At the same time, in our Product & Healthcare Services segment, we have embedded past initiatives into our daily activity while continuing to bring recently identified opportunities to fruition. Our segment leaders and I remain keenly focused on network rationalization and operational excellence, everything from optimizing our manufacturing footprint to our supply chain network.
 Throughout the company, these activities have taken meaningful investment and will continue to do so for the remainder of the year, but we believe they will result in greater profitable growth for years to come. Lastly, I'm encouraged by our year-over-year adjusted earnings improvement and many of our other key indicators. These improvements show the continued positive momentum and were in line with our expectations. Alex will discuss these financials in greater detail shortly.
 Our recent success demonstrates that we are on the right path and that our strategy is working. We all know there will be obstacles in the future, and we believe that our focus to constantly improve the business will assist us in mitigating many of these obstacles, even those that we can't see today. We will remain focused on our long-term strategy and our future as an organization built on excellence. 
 At our Investor Day in December of 2023, we outlined the 5-year strategic plan our vision for 2028, which is pillared by 3 key tenets: accelerating growth, optimizing our business to drive long-term profitability and investing in our business. While we are in the early innings, we are doing exactly what we said we would and we are seeing the results. 
 I would now like to turn the call over to our Chief Financial Officer, Alex Bruni, to discuss our first quarter financial performance in more detail. Alex? 
Alexander Bruni: Thank you, Ed. Good morning, everyone. I'll begin by providing an overview of our financial results and the primary factors that drove our performance in the first quarter of 2024. Our revenue for the quarter was $2.6 billion, up 4% compared to the prior year. We generated topline growth in both of our business segments on a year-over-year basis. Products & Healthcare Services grew 3%, with Medical Distribution growth in the mid-single digits. And in our Global Products division, we saw growth in our U.S. proprietary product sales. 
 Patient Direct revenue was up 5%, which was partially impacted by the Change Healthcare cyber incident that slowed our ability to onboard new patients and renew eligibility for existing patients. Gross profit in the first quarter was $536 million or 20.5% of revenue, compared to $497 million or 19.7% of revenue in the first quarter of 2023. Our gross margin expansion of 79 basis points can be attributed to 3 things: First, the profitability expansion in the Products & Healthcare Services segment, driven by efficiency gains and the successful efforts of the operating model realignment program; second, improved collections of patient direct sales, and third, patient direct sales growth, which carries a higher gross margin than Products & Healthcare Services.  
 Our distribution, selling and administrative expenses for the quarter were $478 million, making up 18% of revenue. The $29 million year-over-year increase reflects higher variable expenses to support the growth in both segments, an increase in our teammate benefits and our decision to make incremental investments throughout the company for future profitable growth. GAAP operating income for the quarter was $10 million, and adjusted operating income was $57 million. Adjusted operating income was up more than 20% year-over-year and was driven by the overall improvements in the Products and Healthcare Services segment.  
 The Patient Direct segment was impacted by expected investments in its future growth, regulatory reimbursement changes and, to a lesser extent, the Change Healthcare cyber incident. Adjusted EBITDA was $116 million, up $8 million versus the first quarter of 2023. Interest expense for the first quarter was $36 million, a 16% decrease from the first quarter of last year, reflecting our prior work to reduce our total debt in 2023. Our GAAP effective tax rate was 19% and the adjusted effective tax rate was 29%. Our GAAP net loss for the quarter was $22 million or a loss of $0.29 per common share. Adjusted net income for the quarter amounted to $15 million or $0.19 per common share. 
 The significant increase in adjusted net income was driven by the factors mentioned above. Shifting to our capital structure. And considering the investments we continue to make, as Ed outlined, cash flow generation and the change in debt levels reflected investments across the company, especially in inventory to support Medical Distribution, customer onboardings and to maintain high-quality service levels. As of March 31, our total debt was $2.2 billion, and net debt was $1.9 billion, up about 3% from last year-end. Through the remainder of 2024, we expect minimal net debt reduction as we make investments to drive long-term profitable growth. We remain committed to delivering our 2024 guidance.
 As a reminder, we expect revenue to be in the range of $10.5 billion to $10.9 billion, adjusted EBITDA to be in the range of $550 million to $590 million and adjusted EPS to be in the range of $1.40 to $1.70. Also, as a reminder, we expect seasonality to lead to a roughly 1/3, 2/3 split across the first and second halves of the year from the adjusted EPS perspective, and we'd expect to deliver improvement in each sequential quarter. 
 With that, I'll turn the call over to the operator for the Q&A part of the call. 
Operator: [Operator Instructions] Our first question comes from Michael Cherny from Leerink Partners. 
Michael Cherny: Maybe if I can jump in first on Patient Direct, the dynamics in the quarter. You talked about the change outage, not a surprise to anyone. Can you give a little bit more color on some of the magnitude of that change outage and what you're seeing already in terms of visibility into improved payment rates and improved flows? 
Edward Pesicka: Sure. Yes, Mike, thanks for the question. On Change Health, I mean, first of all, I think you got to recognize what Q1 is. I mean Q1 is for Patient Direct, probably the most complicated, labor-intensive quarter of the year as so many of the patients are changing insurance or payers, they're adjusting. So there's a lot of work associated with that. It had really, I would say, minimal impact on the top line, but it did have an impact on -- in our collection. 
 I'll also want to make sure that's recognized this change has been an incredible partner. They have worked closely with us. We've worked through it. As we're coming through April, we're starting to see more and more of that work its way through the system. But it was a labor-intensive process. And I think that's the thing that's important from an operating expense standpoint, significant labor-intensive process to do things more manually that used to -- that were done instantaneously from a system standpoint.  
 So I think that had an impact this quarter on cash flow and has an impact on our receivables. But as we get through Q2, we expect most of that to work its way through the system. 
Michael Cherny: Got it. And if I could just ask one more on Patient Direct. A number of recent developments across the CPAP market in terms of the OSA surmount data from Lilly in terms of the Philips proposed and I think, accepted settlement or at least accrual relative to their CPAP devices. Anything you can provide us an update on how you see the development of your sleep franchise and all things CPAP against the backdrop of your multiyear targets and anything that's changed as we see some of these incremental data points on hopefully gaining this market back to both a normalization and potential for demand changes over time? 
Edward Pesicka: Yes. I guess when we look at it is, I mean, obviously, you've got Philips with the issue that's out there publicly now. That's been -- think about it, Philips products have been really on hold for over a year here. And one of the things we've been able to do is continue to partner with others to bring the right amount of inventory in so that way we can hit the customers' needs. So that hasn't had an impact on us because other manufacturers have stepped up and increased production. 
 I think you'll continue to see that as we move forward. The demand in starts on sleep continue to be strong for us. That's probably -- that one along with diabetes are still our 2 fastest-growing categories growing faster than the overall segment. So we anticipate that to continue. And we talked a little bit about some of the work we're doing in the operating model realignment specifically around sleep. I think that's important to make sure we understand the sleep journey better, so that way, we can continue to drive some strong growth in the future. 
Operator: Our next question comes from Kevin Caliendo from UBS. 
Kevin Caliendo: I want to continue a little bit on Patient Direct. The margins -- operating margins year-over-year fell about 35, 36 basis points. I know you talked a little bit about investments you just mentioned how difficult it is in the quarter. I'm just -- I guess what I'm wondering is there any change of mix? Is there anything specific to that? Is there any way to think about how the margin should progress or if there was any one-timers in there that would prompt the margins to decline year-over-year? 
 And what you expect margins in the business, maybe how we should think about the improvement or I know we expect sequential improvement every quarter in the overall business, but how should we think about margins in that business on a year-over-year basis? 
Edward Pesicka: I think we had a couple of different factors, I think, to consider there is one is -- an Investor Day last year and even at the end of Q4 last year, we talked about this. So one, we are making investments in that Patient Direct segment with a significant add of commercial resources. We talked about it back in December, when we had our Investor Day and shared our 2028 strategy. And on that, we recognize 2 things happen when you do that. One is you do create some level of disruption as you're adding territories and expanding it out. 
 In addition to that. The other aspect of it, we said that it takes about 12 months or so for those assets or investments to break even. So one of the things we should share is we're actually ahead of schedule on adding those resources. We think about it, we're trying to find the best assets to bring in the market or in our case, our best teammates to add to the team. And we were able to find much more of those at a quicker pace than we thought. So we had a little bit of extra expense associated with that. 
 And then it was also, as I discussed in the last comment, some of the processing costs and the extra time that we had to put in to make sure we could get patients the product and get it out the door. That's another aspect around that. But ultimately, if you think about long term, it kind of goes to the first question, your question, we still remain extremely bullish on our Patient Direct segment. From the market space we're in, from our positioning, how well the business is run, the investments we're making, not just looking at it in the short term, we're looking at it from a long term. Those are the things that give us extreme excitement around and the bullishness in it. 
 I think the one other thing to remember is we knew Q1 is going to be a little tough because if you look at it, we're coming over the last 2 years in Q1, that business grew at double digits. So we're coming over some [indiscernible] some strong, strong growth sequentially -- i'm sorry, annually over the last 2 years. But again, we're adding resources. We're doing what we need to do to deliver on that long-term target, and we remain extremely excited about the space. 
Kevin Caliendo: That's helpful. If I can ask a quick follow-up. On sleep, you are going to be lapping a tougher comp coming up. I just -- maybe how should we think about the mix between sleep rental versus consumables growth as we progress through the year? 
Edward Pesicka: Yes. I think at a high level, yes, that's true. But we're still -- our sleep starts, we're not seeing a slowdown on those. But you're right, over time, you are going to have more and more consumables versus starts just because it's the law of numbers. So that's the way you should think about it. 
Kevin Caliendo: And just can you just remind me, how do we think about the impact as that progresses over time? Does that mean higher gross margin? Or like what is the impact on that? I apologize for my ignorance on... 
Alexander Bruni: I'm sorry, Kevin. The question is, what's the impact of, what on gross margin? The difference between... 
Kevin Caliendo: As the mix, as the consumables start to grow faster, as you said, like the law of large numbers consumables becomes a bigger part. Just -- I just wanted to understand and make sure I understood what the impact of that is on the margin, like the consumables versus the rental, what does that mean for the gross and operating margin? 
Alexander Bruni: Yes. Thank you. Thank you for repeating that. Yes, so the growth -- outsized growth in the sleep supplies will be favorable to gross margin. 
Operator: Our next question comes from Daniel Grosslight from Citi. 
Daniel Grosslight: Just a couple on cash flow. First, on CapEx, you kept guidance at $220 million to $240 million for the full year. I just wanted to confirm if that's on a gross basis or net of sales? Because obviously, if it's net, you're basically flat this quarter, which implies a pretty significant step up for the remainder of the year? And then on your commentary around basically net debt staying effectively the same, is that implying that on a free cash flow basis, you're going to see kind of de minimis free cash flow as kind of rebuild inventory here? 
Alexander Bruni: Yes. Thank you for the questions. So on the CapEx, that is in fact gross CapEx, and we do expect increased spending as we head through the year. So again, reiterating that guidance range. And then on the net debt, we do expect that to stay relatively flat through the remainder of the year, reflecting our investments not only in commercial capabilities, but also in inventory as we've made to support onboarding new customers as well as driving service levels overall. 
Daniel Grosslight: Got it. Okay. And as a follow-up, I had some more questions on the cadence of margin improvement. But on the [ P&HS ] segment, I know you've got a large client that's in the process of onboarding. So I was hoping to get an update on that? And then also investments across that segment, too. So would you be able to provide just a little more color on how you're thinking about those kind of big spend items this year and the cadence of P&HS improvement for the remainder of the year? 
Edward Pesicka: Well, I'll take part of that and let Alex add some color on it. So think about investments in P&HS. So there's a couple of different areas we outlined at Investor Day, and we're already in the process of investing in. One is in proprietary product portfolio expansion. So we brought resources in. Those are obviously operating expenses to continue to assess on board and bring in new additional expansion of new proprietary products. One of the areas we've already launched is wound care, some additional own proprietary products in that space.  
 In addition to that, from a commercial standpoint, looking to make the right investments in the commercial to beef up our external presence as well as to get closer to the customer and be able to provide more support there. The next aspect of it is both capital investment and operations. We talked about continuous improvements, and it's really around optimizing our manufacturing footprint as well as our supply chain. Some of that technology is going to be invested with something simple as vision pick to turn around and drive a higher accuracy of pick, more efficiency within our warehouses to drive operating expenses. So there's capital expense associated with that, but then there's also the operating expense on the learning curve.  
 And then really on margin, we anticipate margin as those things start to take hold to drive margin improvement within the business as the year -- as this year and the future years progress. 
Alexander Bruni: Yes. Thanks, Ed. So maybe just to add a little bit more color. Similar to Patient Direct, we've made investments in P&HS as outlined from an OpEx standpoint, we've invested in commercial capabilities, for instance, and so a lot of those are already factored into the run rate. And in parallel with that, we're driving a number of transformational efforts that we do expect to continue to drive margin as we move forward. And then again, we've got the normal seasonality where the increased top line and operating leverage, we'd expect to drive some margin improvement as we head into the back half of the year. 
Edward Pesicka: So let me put some -- a little bit more facts behind that, too, is if you think about our 79 basis points improvement this quarter in gross margin, if you think about what we talked about last year in the operating model realignment, one of the key things was sourcing. So we worked extremely hard to put together what I believe is a world-class sourcing organization that now internally is providing the ability to go out and find raw material at a lower price and continue to be competitive. 
 So as product prices are coming back down at pre-pandemic levels, we have the ability to go out and drive additional sourcing to offset that, which is part of the reason why you saw the 79 basis points this quarter in margin expansion. And then on the other side of the house, some of the investments we're making on really, I'll call it the order to cash or cash collection cycle, continuing to work on that to drive margin expansion in our PD. So -- but I want to make sure everyone recognizes is that a lot of the work we did in the operating model realignment program is now embedded into the business. 
 And a great example of that is sourcing and being able to see margin expansion. And then some of the transformational changes we anticipate this year in Patient Direct, around sleep and around order to cash or additional opportunities to drive margin expansion as the year progresses. 
Operator: Our next question is coming from Eric Coldwell from Baird. 
Eric Coldwell: I wanted to -- you mentioned a couple of times the order to cash and the improvements in patient bad debt or collections. Could you give us some ratios on the bad debt ratio or the patient collection improvement? 
Edward Pesicka: Yes. I think at a high level, consider it right now in the, I would call it, the low to mid-90s, and there's an opportunity for us to continue to pick that up. And that's really what the focus is on. Q1 is a tough quarter. Obviously, there was a lot of complexity in Q1. But the anticipation is that we'll continue to get better as the year progresses. 
Eric Coldwell: And Ed, where was that, say, a year ago or a few years ago, how has that ratio changed? 
Edward Pesicka: I would say, overall, Eric, it's relatively consistent, and it gets difficult, right? If you go back and look at it from a Byram standpoint, when it was a stand-alone division within the segment, we had really good collection bringing on Apria, and doing an integration. We continue to be able to drive some of the best practices across both of the divisions within the segment.  
 And now we really -- after having digested the acquisition 2 years later, we believe there's an opportunity to take those best practices across both as well as reimagine it a little bit to drive several points of improvement that are out there from an availability standpoint. 
Eric Coldwell: On the call, there was -- when you were talking about some of the challenges in Q1 here related to -- I think it was all Patient Direct. You obviously talked about the tough year-over-year comparisons, a little bit of Change Healthcare, the new sales territory and realignment disruptions, but I thought I also heard a mention of regulatory changes. I'm not sure if that was related to sales or if that was related to profitability, but there was a mention in the prepared remarks about regulatory changes impacting the segment. I'm just curious if you could dive into that? 
Alexander Bruni: Eric. Yes, so we were referring there to the [indiscernible] funding. Yes. So just as a reminder on that, we had incorporated for either scenario playing out within our internal operating plan as well as our guidance. So we have levers to offset that, but that's what we're talking about there. 
Eric Coldwell: And could you remind us on the magnitude? I think it was just a few million, right? But if you could remind us? 
Alexander Bruni: It was not material, but we did not quantify it exactly. 
Edward Pesicka: I think when you think about it, when you're running the business, you know you're going to potentially have these headwinds, which you continue to look at what contingency plans you have in place and I think opportunities like we talked about earlier on the order of the cash opportunities on the sleep journey and other things, our availability and the speed which we move in those can help mitigate those, which is why I think Alex's comments has been we've contemplated those and we have the ability to make sure that we're focused on that. 
Eric Coldwell: Last one for me. In [ P&HS, ] you've obviously talked about the inventory step-up to handle onboarding new customers. So it's clear that you have new large customers that need onboarding. At the same time, your other public competitor yesterday was a future health system wins coming online later in their fiscal '25. So over the next few quarters starting to onboard and the other large competitor that's private, but put that amount of press is also talking about a pretty constant stream of wind.  
 So bottom line, I'm looking at the 3 largest players that make up the vast majority of the market all talking about wins. Who's losing? And what is the net win/loss ratio in P&HS? Are you overall gaining traction? Do you have some future business leading? I'm just -- I'm curious what's really happening because I see all of the big players talking about wins. 
Edward Pesicka: Yes, I would say we're not winning right now. There is a bit of a time [indiscernible], I guess, but we are not net winning on this. And I think we're being disciplined too on both wins. And as we talked about a year ago, there was some business that we've separated from because of the financial profile of it. So that's, I think, the way we thought about it and the way we're going to continue to think about it as both discipline on both sides of it. 
Operator: Next question comes from Stephanie Davis from Barclays. 
Stephanie Davis: I wanted to ask another one on the Patient Direct business just because you did mention that change had a minimal impact on that side of the world, but it did see a bit of deceleration. Should we think about a reacceleration of this as coming off of the tough comp? Or is it more going to be a function of a ramp-up of some of your sales investments that you've made, which may be get a little bit more back half weighted? 
Edward Pesicka: I think really the latter is the better way to think about it is when we know the investments that we're making are going to pay off. We've done it in a much smaller scale over the last 5 years. We're adding a person or 2 several here or there. This is a broader push. And so I think the latter is the way to think about this is that they start to take traction, you'll see the lift going out in towards the back half of the year. 
Stephanie Davis: Understood. And then when I think about the priority of investments, you always had modernizing your back office IT systems as one of them. I imagine what happened with Change makes us much more top of mind? So is this something where we can maybe see heavier upfront investment spend in order to go and try to mitigate future risks like that? 
Andrew Long: Yes. Actually, Stephanie, you're actually absolutely right is that's something we've discussed, and it's something that's in process already, continuing to look at our -- in our Patient Direct. Again, we do an acquisition. One of the things we -- one of the tenets we had on the acquisition was don't confuse the customer right out of the gate. We don't want to have breakage. And I think we did an exceptional job of that with acquiring Apria. Now you're 2 years in, you've kind of got it settled. You know exactly what levers you want to pull. And one of those is making sure we have systems that can enable us to continue to grow but enable us to have a stronger and more solid foundation.
 So that's exactly one of -- an example of an investment on some of the CapEx as well as that just not all CapEx, there are some operating expenses associated with that, which we can anticipate this year and into the next year. Obviously, we'll go in a little more detail of what's in the plan, but the anticipation is -- and the process already is looking at that, our systems to make sure they're solid and they can be leveraged and we can drive. They can help continue to drive growth as we scale up. 
Stephanie Davis: So putting that all together, I know you reiterated your guidance for the year. Could we see maybe a heavier weighting on investments and more of the growth towards the back half, given all these moving pieces? 
Edward Pesicka: Yes, I think that's a pretty fair assessment. They're similar to last year, too. I mean, very similar to last year also because you then have the seasonality in the business. Think about last year, we had seasonality. If you think about last year, we had investments we were making upfront to drive operational efficiency. We saw those carry towards the back half of the year. So I think it'll be relatively consistent. 
Operator: Next question comes from Allen Lutz from Bank of America. 
Allen Lutz: Ed, you talked a little bit about some of the sourcing and improved collections that drove the gross margin higher. I think that's now a few quarters in a row where you've seen a nice improvement in gross margin. I guess how should we think about sort of where we are in the timeline of those factors driving an improvement? And can you provide maybe a little bit more information on the progression of the gross margin line over the course of the year? 
Edward Pesicka: Maybe I can start with some qualitative and Alex can bring a little more quantitative. And so the anticipation is that we continue to look to drive margin expansion throughout the year. Obviously, the sourcing and some of the other things are already embedded in the business. And some of those were embedded in the business at the end of last year. So think sourcing for example. By the time we got to Q4 of last year, some of that source was already in there and helped drive the back half margin expansion within there.
 So again, we're starting -- getting ready to start to overlap that. But the other projects like the order-to-cash process is another example of where we're going to be able to drive and we should anticipate some margin expansion within the business for that. Continuing to get that overlap effect on sourcing is another example where we can drive margin expansion. But in the same sense, that's the other -- I don't want to call it a headwind, but the other side of the equation also is within products is a good example. We're continuing to see prices come back down closer to where we were pre-pandemic, but as we're driving the cost out, we're able to neutralize that and mitigate that. 
 We continue to work with our customers to help provide savings to them as many of our customers are continuing to look for that. So you think about -- as we think about it, we had a 79 basis point year-over-year improvement in this quarter, we would anticipate that we would continue to drive some level of improvement in the back half or the back 3 quarters of the year. Alex, maybe you can add a little more comments? 
Alexander Bruni: Yes. Thanks, Ed. Yes. So on gross margin, as Ed mentioned, we do expect that to continue to improve throughout the year. There are the 3 key drivers here on Products & Healthcare Services side. The main driver is the sourcing savings that's driving improvement within our cost of goods sold. And then on Patient Direct, there's the 2 drivers. One, just margin expansion driven by the improvement in collections that we've talked about in our investments in revenue cycle in general. And then we've got favorable mix essentially between patient direct and products and health care services.
 So in so far as Patient Direct is growing faster, the Products & Healthcare Services that will drive gross margin expansion overall for the company. And so if you look at just the normal seasonality of the business in both segments as we get into the back half of the year, with topline growth and operating leverage, that will also aid with margin expansion as we get towards the end of the year. 
Allen Lutz: Great. And then just a quick model question. I see a $50 million gain on a sale. Can you just provide some commentary on what that was? 
Edward Pesicka: Yes, but it was a total of $50 million but [indiscernible]... 
Alexander Bruni: Yes. We did have a gain of $7.4 million on the sale of our home office here in Mechanicsville, Virginia. And that hit E&R. 
Operator: [Operator Instructions] Our next question comes from Michael Cherny from Leerink Partners. 
Michael Cherny: Is there any way you can give us some directional color given you don't formally guide on cash flow? And the reason I ask is you mentioned the dynamic of net debt staying steady over the course of the year. I know the CapEx investments are spelled out. I just would have thought would be a little bit more of a cash build given the reiterated EBITDA. So just curious if there's any moving pieces in the middle of that conversion, you can give us some color on? 
Edward Pesicka: I think I'll start just on a directional. I think at a high level, one is we're making some investments in inventory to bring on new customers continue to drive service. I want to make sure it's clear that there's opportunity there as the year progresses. When you bring on a big new customer, you have a tendency to add a significant amount of additional inventory because you want service from day 1 to be impactable. And as we learn them and they learn us better, there is an opportunity to tweak that down a little bit.
 I think also from a receivable standpoint, as we continue to work on our order to cash, there's opportunities -- there may be some opportunities there. But I think we wanted to be disciplined in our assessment that what we have today, the timing on how we can tweak those may take -- maybe sooner rather than later. And then on CapEx, I think the expectation is, as we continue to see growth in areas like sleep, we're going to need CapEx. And as we continue to put some automation and other technology to drive efficiency. There's going to be some capital deployment as the year progresses. 
 So that's more qualitative of how we're thinking about it as well as where there is potential levers and/or opportunities as the year progresses. 
Michael Cherny: Okay. So I assume free cash flow will be positive for the year though? Is there any framework we can use relative to history, even if it's less based on the inventory build? 
Alexander Bruni: Yes. Thanks, Mike. So I'll just add a little bit more color here. So we expect fairly minimal free cash flows for the remainder of the year. We expect net debt to remain pretty much where it is. And this obviously reflects our investments that we're making from an OpEx standpoint as well as CapEx as well as some of our transformation efforts that are hitting exit and realignment. So our expectation is that where our net debt is right now is roughly where we would exit the year and then obviously, leverage is a function of our adjusted EBITDA guidance at the end of the year. 
Operator: As of right now, we don't have any questions. I'd now like to hand back over to Ed Pesicka for final remarks. 
Edward Pesicka: Thank you, and thank you, everyone, for joining on the call. Before I make some closing business comments, I'll make a personal comment, I want to shout out Sentara Health. Think about our purpose, life takes care. Less than 2 days ago, our daughter and son-in-law delivered their first daughter and brought her into the world and our first grandchild. 
 So Sentara Health, Sentara, everybody there. The experience was exceptional, so to the clinicians and all the support staff, thank you. With that, as you heard -- as you did hear today on the call, the team and I, we are extremely excited about 2024, a year where we're going to continue to make investments to drive long-term growth. I also want to thank our teammates across the globe. I want to thank our customers, our partners and, of course, our shareholders. We are going to, as a leadership and an organization to continue to execute on our strategy.
 I really look forward to sharing the progress with you over this -- during the summer in our next earnings call. So thank you, everyone. 
Operator: Thank you for attending today's conference call. We hope you have a wonderful day. You may now all disconnect to the call.